Operator: Good morning. My name is Kelly, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Terex Third Quarter 2018 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the prepared remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Brian Henry, Senior Vice President, Business Development and Investor Relations. Please go ahead.
Brian Jerome Henry - Terex Corp.: Good morning, everyone, and thank you for joining us for today's third quarter 2018 financial results conference call. Participating on today's call are John Garrison, Chairman and Chief Executive Officer; and John Sheehan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will conduct the question-and-answer session. Last evening, we released our third quarter 2018 results, a copy of which is available on terex.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is also available on our website. All per share amounts in the presentation are on a fully diluted basis. We will post a replay of this call on the Terex website under Events & Presentations in the Investor Relations section. Let me direct your attention to slide 2, which is our forward-looking statement and description of non-GAAP financial measures. We encourage you to read this, as well as other items in our disclosures, because the information we will be discussing today does include forward-looking material. With that, please turn to slide 3, and I'll turn it over to John Garrison.
John L. Garrison, Jr. - Terex Corp.: Good morning and thank you for joining us and for your interest in Terex. Global demand for our products continues to grow. Compared to last year, we increased sales, bookings, backlog, operating margins, and earnings per share again in Q3. AWP increased sales by 14% and bookings by 50% to $601 million, reflecting continued strong global demand for our AWP products. In Cranes, we have resolved many of our supply-chain challenges as the quarter progressed. However, shortages did impact production and deliveries, leading to lower revenue and margins than we expected. MP improved its operating margin again this quarter, as it continues to execute very well across its portfolio. With a 72% increase in backlog, MP is well-positioned to finish the year strong and hit the ground running in 2019. Turning to slide 4; every organization needs a great team to achieve great results. A core element of our Execute to Win business system is talent development and planning. We recently completed our annual talent review process. This is a global activity that requires every manager in the company to evaluate his or her team and to find plans to develop team members and address talent gaps. It's been great to see the progression of some of our emerging leaders that have worked their way through the organization, in many cases, starting as engineers or plant supervisors, now leading engineering organizations or managing factories. We have also supplemented our homegrown talent with key recruits to address specific needs. Boris Schoepplein, our new President of Parts & Services, is a good example. Improving an organizational talent is an ongoing process. The key to being successful is to follow a disciplined process to nurture in-house talent and identify opportunities to enhance it. Turning to slide 5, we continue to implement the Simplify and Execute to Win elements of our strategy. We are taking action to simplify the manufacturing and administrative side of the business. The new utilities manufacturing center we are building in Watertown, South Dakota is a great example. We will significantly improve material flow and increase productivity. This is an exciting project for the utilities business and for Terex. Our finance team has done an excellent job implementing a new state-of-the-art performance management system. The system went live across Terex in the third quarter. Our business leaders now have efficient access to detailed performance information, organized consistently across the company. This is a major step towards advanced, data-driven performance management. Execute to Win is about dramatically improving our capabilities by investing in people, processes, and tools in our three priority areas; Commercial Excellence, Lifecycle Solutions, and Strategic Sourcing. We designed the Terex Proven Sales Process to raise the performance of our sales team members by teaching best-in-class industrial selling and relationship management techniques. Approximately 50% of our global sales team has completed the training so far. Parts & Services has significant growth potential. Our new leader, Boris Schoepplein, is aggressively adding talent to his organization. In the third quarter, we hired a new Vice President of Global Parts & Services for AWP, and a global leader for commercial services and digital offerings. And we will continue to build out the organization. We're also deploying a world-class parts pricing system. The new system reflects our new strategic approach to parts pricing and enables efficient price adjustments, based on market conditions. Finally, our Strategic Sourcing initiative is making steady progress. This is the first time that Terex has followed a rigorous process to leverage its global purchasing power. We are learning from Wave 1 that we need to transition a larger amount of volume through a consolidated set of suppliers to generate savings. The savings are in line with our objectives. We anticipate savings of approximately $80 million to be realized by 2020. Another positive outcome will be a significant reduction in the number of suppliers, dramatically simplifying our supply chain. To manage the process, we have mobilized implementation teams in every major site and deployed new part-level tracking tools and governance procedures. Wave 2 is also making progress. Two weeks ago, we hosted our Wave 2 supplier show in Mannheim, Germany. Approximately 800 attendees from 400 incumbent and prospective suppliers attended the event. The leadership team and I communicated our requirements and generated excitement about the opportunity to remain or become a supplier to Terex. With Wave 1 as a backdrop, a clear takeaway for the supply base was our commitment to the process and willingness to make considerable changes to achieve our cost reduction objectives. We expect significant savings from this initiative in 2019 and beyond. Turning to slide 6; looking at our full-year guidance, we now expect sales growth of approximately 17%, or roughly $5.1 billion. We expect to deliver approximately 6.6% operating margin and earnings of between $2.60 and $2.70 per share. While our global markets remain strong, this guidance, which is lower than our previous expectations, reflects our third quarter results, updated production plan in Cranes, higher input cost including tariffs, and anticipated foreign exchange headwinds. With that, let me turn it over to John to provide more detail on our Q3 results and updated guidance.
John D. Sheehan - Terex Corp.: Thanks, John. Let me begin by reviewing our Q3 segment highlights. AWP increased sales by $78 million or 14% compared to last year, driven by growth in North America and Asia. As the bookings growth of about $200 million or 50% indicates, global customer demand remains strong, and we are confident in our outlook for continued growth. AWP improved its operating profit by 115 basis points compared to last year, driven by production efficiencies achieved on higher volume, which more than offset greater-than-expected input cost headwinds, including tariffs. Moving to Cranes, the production and delivery issues in mobile cranes had a significant impact on third quarter performance. We were not able to deliver approximately $30 million worth of equipment that was planned for Q3. This led to approximately $8 million of lost margin and factory under-absorption. Other factors, including higher material costs, were partially offset by lower SG&A expense. Materials Processing continues to deliver excellent financial performance across its portfolio of businesses. Sales grew by 14% to $295 million, driven by global demand for crushing and screening products, material handlers and environmental equipment. The MP team increased year-over-year operating profit by 36%, representing a margin expansion of 200 basis points and an incremental margin of 28%. Backlog grew 72% to $446 million. MP is well-positioned for a strong Q4 with considerable momentum heading into 2019. Turning to slide 8; consolidated sales increased 11% in the quarter. Higher operating margins generated by AWP and MP were largely offset by the underperformance in Cranes. Net interest expense rose by approximately $3 million year-over-year. Increased borrowing and higher underlying interest rates were partially offset by improved interest rate spreads on our term loan. Other income was also impacted by changes in FX rates, which were modestly unfavorable compared to last year. On an adjusted basis, we generated earnings per share of $0.68, 36% higher than last year, a good quarter but below our expectation. Turning to slide 9; as John noted, we now expect full-year sales growth of approximately 17%, representing an increase of about $740 million compared to last year. We updated AWP's full-year sales growth to be approximately 22%. AWP finished Q3 with a substantial backlog of $527 million, which is $170 million, or 48% higher than last year. We continue to see strong order rates, and based on discussions with our major customers, we expect to finish the year with a healthy order book heading into 2019. We now anticipate full-year operating margin for AWP of between 10.5% and 11%. This outlook represents a significant improvement over the prior year, but below our previous expectation, due largely to slightly lower sales growth, increased material costs, including tariffs, and to a lesser extent, anticipated foreign exchange headwinds. Based on our backlog and operational improvements in Cranes, we anticipate fourth quarter sales of approximately $375 million, and we expect to breakeven or generate a small operating profit in Cranes in Q4. We now believe that MP will achieve a full-year operating margin near the high end of the previously-announced range, on approximately 16% higher revenue than last year. This represents an excellent year for Materials Processing. The net result of these changes is an updated earnings range of $2.60 to $2.70 per share, which at the midpoint represents a doubling of our EPS compared to last year. From a free cash flow perspective, we now expect to generate approximately $50 million. The primary drivers of the update are the latest earnings estimates and higher net working capital, including the cash impact of the new 301 tariffs on Chinese imports into the United States. While we have a process in place to recover a significant amount of the tariffs, the recovery will take place in future periods. Turning to slide 10; we continue to deliver on our commitment to follow a disciplined capital allocation strategy. Year-to-date, free cash flow is modestly better than last year. Cash flow performance in the quarter was impacted by higher net working capital, due largely to the timing of deliveries and higher accounts receivables, partially offset by higher payables. We are making strategic investments in our businesses. On a year-to-date basis, we have invested approximately 55% more in capital expenditures than last year, not including the acquisition of the MP properties in the UK. Investing in growth opportunities designed to return significantly more than our cost of capital is an excellent use of cash. We also continue to invest in the transformation priority areas that underpin our long-term improvement plans. Subject to market conditions, we will continue to buy back shares. Finally, we continue to expect our 2018 ROIC to improve to 16%, an important step towards our 2020 objective of 20% ROIC. The Terex team has and will continue to generate shareholder value through the execution of our disciplined capital allocation strategy. And with that, I'll turn it back to John.
John L. Garrison, Jr. - Terex Corp.: Thank you, John. I will review the dynamics in each of our segments starting with AWP. We increased sales, backlog, and bookings in the third quarter, and we are planning for continued growth in every region. The growth that we are projecting is driven by global construction growth, replacement demand, and increased adoption in Europe and developing markets. Our global operations are managing the challenges of higher production rates, including material and labor continuity. The benefits of higher productivity are helping to offset higher material costs, including tariffs, enabling positive incremental margins. The AWP team is fully committed to executing their Strategic Sourcing plan, including transitioning considerable volume to new suppliers. We expect to realize significant savings in 2019. Another exciting factor when looking to the future of AWP is its position as a leader in innovation. The AWP team maintains a steady cadence of new product introductions and enhancements. The Genie S-85 High Float Telescopic Boom pictured here was recently launched in North America. These new high float booms combine Genie's extra capacity technology with an undercarriage designed for sensitive ground conditions such as finished floors or turf. This is another great example of listening to our customers and designing products that address their specific needs. In summary, we will continue to meet the growing demand of our customers around the world, thanks to the commitment of our experienced and passionate AWP team. Turning to Cranes; our mobile cranes team made progress in a quarter, but not as much as we expected. From a demand perspective, our new products including the Demag line of all terrain cranes are selling well. Our customers want the product. The major issue remains building and delivering cranes on time. Part shortages during the assembly process also lead to labor inefficiency, which causes under-absorption and higher cost of sales. While shortages persisted in Q3, our materials management team made progress over the course of the quarter, improving their processes and getting better visibility into the supply chain. Turning to the global crane market, we continue to see largely stable demand with pockets of growth. Oil prices are stimulating modest demand increases in North America and the Middle East. The global market for large crawler cranes remain soft, while the new Demag all terrain cranes continue to make inroads. Our utilities business is a consistent performer in a stable market. Finally, our tower cranes business continues to grow and to execute well. The team recently hosted an event in Italy to demonstrate its new products and customer focused solutions. Over 100 customers from around the world attended and provided outstanding feedback on our new flattop crane, pictured here, including the new elevator, anti-collision system, and the new telematics solution. Great work by our tower cranes team. In summary for cranes, demand is stable with pockets of growth. We have a strong order book and new products that continue to be well received. We remain committed to improving cranes' performance and meeting the needs of our customers. Turning to MP; Materials Processing is a high-performing segment that consistently delivers strong results. MP improved performance again in Q3, increasing sales, bookings, backlog, and margin. Global demand for crushing and screening equipment continues to be strong. Broad-based economic growth, construction activity, and aggregate consumption are the main drivers. MP is also capitalizing growing demand for material handlers and broad line of environmental products. Our Fuchs business produced and sold significantly more material handlers in the first nine months of 2018 compared to last year. Two weeks ago, I attended the Fuchs' 130-year year anniversary celebration with over 200 dealers and customers. It was a great event showcasing the proud history of innovation and performance at Fuchs. The highlight was the dramatic unveiling of the brand new MHL 375 pictured here, designed for the growing material handling market. It features advanced telematics and the option to be powered by a diesel or electric motor. This is another example of customer-focused innovation that clearly differentiates our products. Great execution all around by our Fuchs team. Last month, I also had the opportunity to attend a customer open-house at an environmental equipment business in New Hampshire. Our CBI brand is a recognized leader for performance and quality in the wood processing market. The power of the CBI products including the new Magnum Force horizontal grinder that can turn a 40-inch diameter tree into chips in a matter of seconds is truly awesome to see. This is another example of being well-positioned to succeed in a growing market. There is significant momentum across the MP portfolio. And with 72% more backlog than last year, MP is well-positioned to finish out the year with a strong Q4 and excellent prospects for 2019. To wrap up our prepared remarks, AWP and MP both delivered higher sales and significantly increased bookings and backlog, reflecting continued strong demand for their respective products with considerable momentum heading into Q4 and 2019. AWP and MP both improved operating margins in spite of material cost and tariff headwinds. The operational challenges in Cranes are understood and we are making progress. We will continue to execute our transformation program, simplifying the company, and building capabilities in our Execute to Win priority areas. We are confident in achieving our 2020 objectives of 10% operating margin and 20% ROIC. Finally, we will continue to follow our disciplined capital allocation strategy and create additional value for our shareholders. With that, let me turn it back to Brian.
Brian Jerome Henry - Terex Corp.: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we have time to get to everyone. With that, I'd like to open it up for questions. Operator?
Operator: Certainly. Your first question comes from the line of Steven Fisher from UBS. Please go ahead. Your line is open.
Steven Fisher - UBS Securities LLC: Thanks. Good morning, guys.
John L. Garrison, Jr. - Terex Corp.: Good morning, Steve.
Steven Fisher - UBS Securities LLC: Just, John, a few months ago you talked about having some weekly check-ins with the crane suppliers. Where did that process not meet what your expectations were or was there just really little you could do about it? And then what gives you the confidence that you'll be able to ramp up that production in your crane factories to hit the implied growth in Q4?
John L. Garrison, Jr. - Terex Corp.: Thanks, Steve. Yes. We've had an intense focus on improving the continuity of the materials supply in mobile cranes. We are starting to see the progress. I was there a week ago Friday, and we spent time physically and then on follow ups. We've engaged some external support to assist. We have better visibility into the supply chain's delivery and quantity performance. And at the end of the day what's happened is we've had strong demand for our products, but our supply base could not keep up with the demand. And as a result of the shortages, it's led to disruptions in our mobile cranes operations, which has led to the lower productivity and under-absorption. Now, in terms of progress through Q3, we began to see progress – clearly not at the rate that we had anticipated, but we did begin to see progress in Q3 in terms of on-time starts, on-time completions, which will ultimately lead to improvement in on-time deliveries. So, it really is an intense focus, part number by part number, supplier-by-supplier to ensure the parts are delivered to the assembly operations in a timely manner. And again, we've made progress. You can see the progress in the metrics, but clearly not at the pace that we had anticipated.
Steven Fisher - UBS Securities LLC: Okay. And then, just a follow up on Cranes; if we were to annualize the Q4 implied Crane revenues, I think it's about $1.5 billion. And so, if the mix doesn't change, just curious what the normalized level of profitability or margins you might be able to get from that level of revenues after you sort out all these supply-chain issues, because I think you'd previously talked about say $1.2 billion as a breakeven level. And I think, John Sheehan, you mentioned you missed an opportunity of $8 million of profit on $30 million of revenues, so call that, the 26% or so, incremental. So, if you're at $1.5 billion versus your $1.2 billion breakeven, does that mean we should assume you could earn, say, $75 million on that annualized level?
John D. Sheehan - Terex Corp.: Yeah. Thanks for that question, Steve, and I'll take that. So, I guess two aspects to that question. First, as it relates to the revenue, while we're certainly not providing 2019 revenue guidance, or profitability guidance for that matter, in this call, I would say that the $375 million of revenue for Q4 for the Cranes segment also represents a catching up or a resolving of the supply chain issues and getting a higher number of Cranes out the door. So, I'm not sure that I would necessarily multiply Q4 by 4 for next year in terms of the revenue number. I do continue to embrace the – that we have brought the fixed cost structure of our Cranes segment down and that – to the $1.2 billion annual revenue number. If I take you back to our original guidance for 2018, that was for a 2% operating margin for the Cranes segment. The issues we've had in the Cranes segment are solely in the mobile cranes operations. We will get those issues resolved here in the fourth quarter. And therefore, I would be thinking about an operating margin for 2019 in line with what we had talked about for 2018 of at least 2% positive operating margin.
Steven Fisher - UBS Securities LLC: Great. Thanks a lot.
John L. Garrison, Jr. - Terex Corp.: Thanks, Steve.
Operator: Your next question comes from the line of Jamie Cook from Credit Suisse. Please go ahead, your line is open.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning.
John L. Garrison, Jr. - Terex Corp.: Good morning, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: The backlog obviously for Aerials looks pretty good as we sit today relative to last year. And I think at your Analyst Day, you sort of talked about thinking about flat revenues for 2019. Oshkosh yesterday reported good backlog as well and is implying flat to sort of down-ish top line. So can you talk about your expectations for Aerials for 2019? And then just some of the issues whether it's productivity, supply chain, material costs; should we assume that stuff goes away in 2019 and how to think about incremental margins for that business? Thanks.
John L. Garrison, Jr. - Terex Corp.: Thanks, Jamie. So, overall, you're right. I mean, the AWP market remains strong globally as evidenced by the bookings being up 50% and backlog being up 48%. I think what's encouraging, Jamie, is we're seeing growth across all major regions. Consistent with the discussions we're having with our customers, they have confidence in 2019 and that confidence is being driven by higher utilization on larger fleets, and they're seeing improving rental rates, both year-over-year and sequentially, which is leading to the higher CapEx demand in their ordering equipment for that. So we are seeing strength globally in that business. I would say customer sentiment remains very positive as we go in and our customers are planning for growth for 2019 and so are we.
John D. Sheehan - Terex Corp.: Yes. And so, Jamie, in terms of the costs that we're seeing here in the second half of the year, and we talked about them in our prepared remarks, the higher steel costs flowing into fuel-related components, tariffs from our first and second tier suppliers and then also just from the industrial demand, higher inflationary pressure. All of those factors will absolutely or are absolutely going to be factored into our 2019 pricing, and our 2019 pricing will offset the higher input cost. We are still fully committed to the incremental margin for this segment in the 25% range and believe there is a – that we'll have a very strong 2019.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thank you. I'll let someone else get a question in.
John L. Garrison, Jr. - Terex Corp.: Thank you, Jamie.
Operator: Your next question comes from the line of David Raso from Evercore. Please go ahead. Your line is open.
David Raso - Evercore ISI Institutional Equities: Hi. Good morning.
John L. Garrison, Jr. - Terex Corp.: David.
David Raso - Evercore ISI Institutional Equities: Just indulge me for a second, just to step back for a second. I mean, there's a lot of stocks trading on 2019 less than 10 times. And you're at $36 right now. Earnings this year are $265 million is the midpoint. You've got $0.10 of carryover from the share count into 2019. MP reasonable numbers, just not that much leverage in the business, call it, it could add $0.15. Cranes, I appreciate the 2% margin comment. It's a show me story. At best, let's model a breakeven for next year, year-over-year from a $30 million loss to breakeven, it adds $0.30. So you add those three pieces together, we're at $265 million this year. We're at $320 million. That's 11 times more expense than other stocks we can look at, the key is Aerials. So, the comment you just made about 25% incremental margins, I mean, you run a 10% top-line growth and you've put a 25% incremental on it, you're talking $0.63. We're at $380 million. The stock looks relatively inexpensive. But the believability of that right now, we have implied incremental margins for Aerials at 12%, 13% for the fourth quarter. We just did sub-20% for the third quarter. Can you help us understand price cost, price dynamics, what you're hearing, mix, any issues around currency to get comfortable with that number? Because if it's a 15% to 20% incremental, it sort of changes the dynamic of is the stock relatively inexpensive, can I get a lot of other names that I can rely on more to execute at lower multiples. So, for all the other conversations about repo, Cranes has to be a show me, MP is not that big. If Aerials are 70% of your earnings, can you help us understand the comfort to throw out a 25% incremental comment for 2019? I appreciate you indulge me on this. It's obviously the critical aspect to the earnings power for 2019.
John D. Sheehan - Terex Corp.: So, David, let me just jump in first before going to John is, we're achieving a 22% incremental margin for 2018. So, the – it's not just a throw out a 25% incremental margin. We are basically there for 2018. But John, I'll let you go from there.
John L. Garrison, Jr. - Terex Corp.: And again, David, on the – in the context of, number one, the market looks to be strong, as evidenced by the backlog, the customer sentiment. Price cost ratio has improved in 2018. And 2019, part of the improvement is we're going to have to cover our cost. So, as we think about 2019 pricing strategy within AWP, it's going to be intended to offset the input cost that we're seeing. It will be higher than a normal price increase that we've had previously. What we are doing is we're folding the surcharge plus an additional amount into our 2019 pricing. And I will say, we are being totally transparent with our customers about the cost increases we're seeing. As we all on the call know, we've seen dramatic increases in fuel costs, 40% to 60%. We're seeing labor, freight, and things like that. Customers are also seeing those incremental increases. Now, these are not easy conversations. Any price increase is not an easy conversation. But we are being transparent to be clear with the customers to see the cost that we're seeing in this business. Around the work that we're doing because pricing is critical, it's important to our Commercial Excellence initiative, and really we're improving our pricing waterfall management, our process discipline, and we're reducing leakage. Every basis point of price matters. And so that is driving improvement as we go through the year. I also mentioned in my opening comments our sales training and focusing on the value proposition. AWP products are high value products. We put people into the air and they can do it safely and consistently. We're investing in technology and innovation to drive differentiation in the marketplace, and we need to be able to convince our customers of doing that. We're working with customers as we go through to understand that, yes, the initial price is important. But it's also the cost of operation, it's also the residual value that you receive. So, we're engaged in in-depth conversations, negotiations with our customers on the pricing dynamics, as we've experienced them in 2018 and, clearly, the pricing dynamics are better in 2018 than they were in 2019. Obviously, the price cost is roughly neutral. We'd like to do slightly better. But our intention as we move forward from 2018 to 2019 is to really neutralize the input costs that we're seeing, all right, with our 2019 pricing. We're going to remain disciplined, and we've been disciplined this year. Some of the potential revenue shortfall that we've seen in 2018 is we've been resolute on applying the surcharge, and it frankly has cost us a little bit of business as we've gone through the back end – back half of the year, but we believe we've just not continued to work with our customers so they understand, be transparent. And so, price cost is going to help us drive and consistently deliver on that 25% incremental margin that you mentioned. And as John said, we did achieve 22% incremental margin full year. Fourth quarter is lower. Part of it is the cost issues; part of it's the lowest quarter from a production standpoint. But year – the full-year incremental margin is at 22% and Matt and his team are committed to driving that improvement on a year-over-year basis to that 25% level.
David Raso - Evercore ISI Institutional Equities: But the pricing actions you're taking, where do you see price equaling cost maybe even above cost? Is that a set-up ideally? I know you're negotiating right now, but is that set-up when you put out a 25% number, that starting in the first quarter, we expect to have, you name it, 4% price, 5% price even coming in at zero margin, we still think this is a 25% business. I know I need a little education on the currency, trying to understand how the currency plays. Just for now, we have to assume the dollar is on the strong side. Can you help us understand how currency impacts it? And again price cost, when do you expect price cost to at least be neutral starting 2019?
John L. Garrison, Jr. - Terex Corp.: Yes, thanks David. Sure, David. I'll take the first part and I'll ask Duffy to talk through the FX. On the price cost, the first thing is that we have a strong backlog. Obviously, some of the backlog that we have is for 2019 delivery. All deliveries after the January 1, will be at 2019 pricing. So, I think that is important.
David Raso - Evercore ISI Institutional Equities: I'm sorry. I missed that. Maybe the phone cut out. All shipments after January, then I didn't hear what you said.
John L. Garrison, Jr. - Terex Corp.: One. Yes, excuse me, David. I'll be clear here. All deliveries after the January 1 will be at 2019 pricing, all right?
David Raso - Evercore ISI Institutional Equities: All right, thank you.
John L. Garrison, Jr. - Terex Corp.: So, we're pricing all deliveries as we go forward. And again, David, I think this is important. The pricing actions, I would like to tell you the pricing actions are going to drive significant margin expansion. The reality of it is, is we're telling our customers the pricing actions are really to cover our cost. We've got to drive productivity in those other things to enhance (38:19). So, it really is to neutralize the cost of the cost inputs that we're seeing. So, in terms of the price cost, that's what we're looking at. All deliveries after January 1 are at 2019 pricing. And, Duffy, if you wouldn't take a moment or two to explain kind of the FX impacts on AWP.
John D. Sheehan - Terex Corp.: Sure. So, the AWP segment does manufacture in the United States and ship product to Europe and therefore a strong dollar, weak euro does have an impact on them, a negative impact on them. We've been seeing the euro weakening here, especially in the second half of the year and especially in the fourth quarter. And our guidance and our forecast for 2019 will take the current level of the euro into account. And so we have to – as we plan our business, we have to be able to overcome currency and not allow it to be a crutch for why we don't perform.
David Raso - Evercore ISI Institutional Equities: Yes. So my impression was the China facility sort of the secret source of offsetting some of that currency drag shipping from Washington State to Europe that you could start to ship more from China into Europe. So, with Europe 20%, 25% of the business, is that part of diminishing the currency drag for 2019? Is there a way to change those supply lines a bit?
John L. Garrison, Jr. - Terex Corp.: Exactly, David. That is correct. We – especially in AWP segment, we do have a global manufacturing strategy. We do have the capability of producing multiple models in different locations. And clearly, part of the strategy for supplying Europe is to supply more of the European demand, both out of our European plants, of course, but also increasing the production out of our China plant into Europe. We think that will also help with some of the currency impacts that we've experienced as we go forward.
David Raso - Evercore ISI Institutional Equities: And lastly then I'll hop off. We talk a lot about North America, and I appreciate the significance of it for AWP. But 35% of the business is outside of North America. Can you give us some thoughts on those markets and how we should think about, at least base case, the order books on volumes for 2019 with kind of where you sit today? Thank you.
John L. Garrison, Jr. - Terex Corp.: Sure. Overall, if you look at Europe, the markets for our AWP in Europe, the underlying market is strong, and again, it's being driven by construction spending growth. They also experience the same replacement cycle dynamics that we do in North America. And there's also the ability to increase adoption, especially as you go further into Eastern Europe on the European side. So, right now, Europe appears, and we believe is going to be strong. The other markets, Asia Pacific, Australia, continue to grow. Those are good markets for us. Australia has definitely recovered for us. And the Asian markets, Korea, Japan, have been strong. And we continue to see good growth in China. China, the plan as we just spoke, not only to produce for exports out of China, but obviously, we're continuing to see good growth and we're potentially looking at expansions within China given the market demands that we're seeing in China. So, yes, North America is clearly important, but the AWP business is a global business. And right now, the demand signals that we're seeing globally are strong.
David Raso - Evercore ISI Institutional Equities: I really appreciate the time. Thank you.
John L. Garrison, Jr. - Terex Corp.: Thank you, David.
Operator: Your next question comes from the line of Seth Weber from RBC Capital Markets. Please go ahead. Your line is open.
Seth Weber - RBC Capital Markets LLC: Hey. Good morning, everybody.
John L. Garrison, Jr. - Terex Corp.: Good morning, Seth.
Seth Weber - RBC Capital Markets LLC: Just one – another question on access. The orders and backlog are obviously very strong. Can you just comment on whether you're seeing any from your customers or are they kind of delaying negotiations here or pushing back on any of your conversations? I mean, it doesn't seem like that, but we've heard that from some other people. And also, can you talk about whether you're planning for your mix to be any different this year with respect to IRCs versus the nationals? Thanks.
John L. Garrison, Jr. - Terex Corp.: Thanks, Seth. I'll try to answer those going backwards. In terms of the current backlog, we don't really see any significant difference versus our historical mix between the customer bases within there. So, I don't think there's any substantial change there.
John D. Sheehan - Terex Corp.: Yeah. On the first part of the question, Seth, with respect to the negotiations with our customers for 2019 and whether there's pushback or delay, I would say that Matt and his team have been, as John described a little bit earlier, been very resolute, very strident. Our 2019 pricing is designed to offset the input cost headwinds that we've experienced in 2018, higher steel and steel-related component prices, the indirect impact of – direct and indirect impact of tariffs. And so, we're having very good negotiations and discussions with our customers, and being transparent with respect to the cost increases that we've incurred and expect to continue to incur. And I wouldn't say necessarily that the negotiations are delayed, but they are progressing through and will be concluded during the course of the fourth quarter.
John L. Garrison, Jr. - Terex Corp.: Yeah. And again, given the nature of – and they're challenging negotiations, there is multiple rounds of discussions that continue before you finally close on the deal. But again, we're anticipating to see strong growth as we close out the year and we anticipate closing out a lot of these agreements here as we move through the fourth quarter and early in first quarter.
Seth Weber - RBC Capital Markets LLC: Okay. That's helpful. Thank you. And then just quickly, a follow-up on the share buyback. The 77.5 million guidance for the year, so that implies no buyback in the fourth quarter then. Is that right?
John D. Sheehan - Terex Corp.: Well, we do not project – in the share count guidance that we provide, we do not project future share repurchases into that guide. So, I wouldn't necessarily read anything into that. We're continuing to follow our disciplined capital allocation strategy as it relates to share repurchases. We believe that Terex shares have been and continue to be a good use of our cash and a good investment, as demonstrated by the fact that we bought $1.25 billion of our shares back over the last – less than two years, and we will continue to create long-term shareholder value through our disciplined capital allocation strategy. But as it relates to the guidance that – don't read into that, that we don't intend to repurchase shares in the fourth quarter.
Seth Weber - RBC Capital Markets LLC: Okay. Thank you very much, everybody. I appreciate it.
John L. Garrison, Jr. - Terex Corp.: Thank you.
John D. Sheehan - Terex Corp.: Absolutely.
Operator: Your next question comes from the line of Ann Duignan from JPMorgan. Please go ahead. Your line is open.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning.
John L. Garrison, Jr. - Terex Corp.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Just on AWP pricing again. Can you reassure us that these are new list prices that they're not like inflation clauses. Because in last couple of days, we're now hearing that, gee, maybe we'll get a deal with China and tariffs will disappear and the last thing we want is mid-year, next year we find out that these were surcharges, and they've gone away by this wayside also. So, if you could just assure us that these are real list price increases.
John L. Garrison, Jr. - Terex Corp.: Thank you, Ann. A great question, and again, to be absolutely clear, for 2019 pricing, we are not using a surcharge. We're rolling the surcharges that we've seen as a result of this deal this year into a list price increase in 2019.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Good. That's very clear. Thank you. And then taking a step back a little bit, looking at your ROI and your target of 20% by 2020, can you talk a little bit about how much Cranes are weighing on your ROI this year and can you get to 20% with Cranes? Are you willing to do something structural with Cranes to get to 20% or are you willing to miss the 20% target? Thank you.
John L. Garrison, Jr. - Terex Corp.: Thank you, Ann. Well, one thing, we're not willing to concede is conceding on the target. We are committed as a leadership team to delivering on the 10% operating margin, to delivering on the 20% ROIC, and to deliver on our free cash flow that we laid out almost two years ago at this time in our investor meeting. So those are the objectives for this leadership team, and we're going to hold ourselves accountable to achieving them. So, there's no looking back on those. In terms of Cranes, Ann, we have made progress. But unequivocally, we understand that we've got more sustainable improvements to be made. As we do the things that we've talked about, fix the supply chain, get the production – the products out to our customers. We're going to see a pretty significant increase in the ROIC of that business. Again, the good news side here is that the new products that we're developing, they are doing well in the marketplace. And now we've just got to work our way through the disruptions that we've had and get back to delivering on our commitments to our customers for on-time delivery. We continue to follow, as Duffy said, our rigorous capital allocation. You have to out earn your cost of capital through the cycle, that rigorous application of our capital allocation strategy has not changed, but we believe we can drive with the continued improvement that we can drive improvement in our Cranes business, so they can achieve the requirement of out-earning the cost of capital through the cycle.
Ann P. Duignan - JPMorgan Securities LLC: Yeah. Okay. But we've only got one year left before we hit 2020 and we're not even at breakeven yet. So, when would you expect to hit the – deliver greater than the cost of capital?
John D. Sheehan - Terex Corp.: So Ann, I'd say two things. First of all, we will resolve the Cranes – mobile cranes' supply chain challenges this quarter. I talked earlier in response to another question about getting back to at least 2% positive operating margin in 2019. And we would continue to improve upon that margin into 2020. On top of that, our performance to-date has been devoid of the savings associated with our Strategic Sourcing initiative. And we do expect that that initiative will also kick in that will benefit the entire company, including our Cranes segment when thinking about their profitability. John talked about in his prepared remarks, the savings that we expect to achieve from that out over the next two years from our Wave 1 initiatives.
John L. Garrison, Jr. - Terex Corp.: I guess the only other thing I'd add to that, Ann, is if you look, we're tracking towards about 16% this year return on invested capital with the underperformance, the significant underperformance in Cranes. So, I understand your concept. There's not a lot of time between now and 2020, but we're going to get the supply chain fixed to begin to ship products, and that will help on that ROIC commitment.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you. I'll get back in line. Appreciate it.
John L. Garrison, Jr. - Terex Corp.: Thanks, Ann.
Operator: Your next question comes from the line of Stanley Elliott from Stifel. Please go ahead. Your line is open.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Thank you, guys. Hey, just to clarify on the Wave 1, Wave 2, it was $80 million realized by 2020 from Wave 1 and there was additional progress coming on Wave 2?
John L. Garrison, Jr. - Terex Corp.: That's correct. On the Strategic Sourcing, we're anticipating $80 million of savings by 2020. I think the way to think about it is about $40 million or so next year realizing 100% of the $80 million in 2020. As I indicated in our prepared remarks, we have kicked off Wave 2 in Mannheim. We had a very good event there, Wave 2 savings, maybe the back half of 2020. The Wave 2 savings will then kick off the 2020 and beyond. So, you'll have Wave 1 plus Wave 2 as we go forward. So, again, we're seeing good opportunities, good opportunity for cost reduction, excellent opportunity for simplifying our supply base, reducing the number of suppliers we're working with, entering into long-term agreements with suppliers so that when we get in challenging periods like this that we're able to ensure continuity of supply. So, we're committed to the process. We're spending a lot of – we're investing in the process, in people, in process, and we're going to begin to see the benefits of this investment in 2019 and leading beyond 2019 into 2020.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Perfect. And then quickly on the MP business, the UK acquisition was fairly small. The step-up that we've seen in profitability is that just strictly the volumes that have come through or did the acquisition open up some new avenues for you? And then, quickly, could you parse out the backlog between kind of the material handling and then the actual crushing business?
John L. Garrison, Jr. - Terex Corp.: Yes. Thank you, so. Again, MP has really done a great job as we said in are opening remarks, it's really strong execution, significant increase in sales and backlog, and driving a 210 basis point margin improvement. And the good news is it's coming from strong execution. They've had to overcome many of the same challenges we all have as manufacturers with the supply and supply base, but they've done a really great job doing that. We're seeing growth really across their entire portfolio. Crushing and screening is up globally. Our material handling business, Fuchs, is showing broad-based growth in Europe and North America, and that was a business that was down considerably, so we're seeing improvement there. The one business that is slightly down is our concrete business in the United States. But that's really as a result of not being able to produce refurbished trucks and basically just going to a new truck environment. And then, our environmental business is gaining traction. These are new businesses that Kieran and the team have invested in and they've done a great job with the acquisition of CBI, growing that business, but then also creating within their portfolio some environmental businesses to take advantage of the regulatory changes across the globe. So overall, we're seeing good growth across their portfolio and good – which I also think is quite encouraging, good broad geographical dispersion of their growth in backlog.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Okay, guys. Thank you very much.
John D. Sheehan - Terex Corp.: Stanley, just one point on John's comment is, on our concrete business, the refurbished trucks and – are not being able to produce those. That's a result of a regulatory change and not any internal production challenges by our Terex team.
Stanley Stoker Elliott - Stifel, Nicolaus & Co., Inc.: Thanks. Appreciate it.
Operator: And this will be our final question. Your next question comes from Andy Casey from Wells Fargo Securities. Please go ahead. Your line is open.
Andrew M. Casey - Wells Fargo Securities LLC: Thanks. My questions have been answered.
John L. Garrison, Jr. - Terex Corp.: Thank you, Andy.
John L. Garrison, Jr. - Terex Corp.: Got it. Thank you very much. So, first of all, I want to thank all of you for your questions and your continued interest in Terex. Clearly, a challenging quarter, but we have made progress on our transformation strategy and our Execute to Win priorities. And we clearly understand that we have to accelerate the pace to achieve our objectives. The team is committed to driving that improvement, and as we move forward, we're confident that we can capitalize on the growth that we are anticipating in 2019. With that, if you have any further questions, please do not hesitate to reach out to Brian. And again, thank you.
Operator: This concludes today's conference call. You may now disconnect.